Operator: Good afternoon, and thank you for standing by. Welcome to the MiMedx Third Quarter 2025 Operating and Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Matt Notarianni, Head of Investor Relations for MiMedx. Thank you. You may now begin.
Matthew Notarianni: Thank you, operator, and good afternoon, everyone. Welcome to the MiMedx Third Quarter 2025 Operating and Financial Results Conference Call. With me on today's call are Chief Executive Officer, Joe Capper; and Chief Financial Officer, Doug Rice. As part of today's webcast, we are simultaneously displaying slides that you can follow. You can access the slides from the Investor Relations website at mimedx.com. Joe will kick us off with some opening remarks and a summary of our operating highlights as well as a discussion of our financial goals, and Doug will provide a review of our financial results for the quarter. And then Joe will conclude before we make ourselves available for your questions. Before we begin, I would like to remind you that our comments today will include forward-looking statements, including statements regarding future sales, operating results and cash balance growth, future margins and expenses, our product portfolios and expected market sizes for our products. These expectations are subject to risks and uncertainties, and actual results may differ materially from those anticipated due to many factors, including competition, access to customers, the reimbursement environment, unforeseen circumstances and delays. Additional factors that could impact outcomes and our results include those described in the Risk Factors section of our annual report on Form 10-K and our quarterly report on Form 10-Q. Also, our comments today include non-GAAP financial measures, and we provide a reconciliation to the most comparable GAAP measures in our press release, which is available on our website at mimedx.com. With that, I'm now pleased to turn the call over to Joe Capper. Joe?
Joseph Capper: Thanks, Matt. Good afternoon, everyone. Thank you all for joining us for today's call. I'm very pleased to report that our third quarter performance was outstanding across the enterprise, generating strong top line growth in both our Wound and Surgical franchises. We set new company highs for quarterly revenue, adjusted EBITDA and adjusted EBITDA margin, which added $23 million of cash in the quarter. I am extremely proud of the team's focus, which drove these superior results. We continue to prove we can adjust to challenges and advance on opportunities whenever they arise. As such, we are once again raising our full year 2025 revenue growth guidance and our expectations for adjusted EBITDA margin. Our goal for the remainder of the year is to maximize near-term opportunities to ensure a strong finish and usher in the pending Medicare reimbursement reforms from a position of strength. The final rules are likely to be implemented at the start of 2026, and we are well prepared for a range of potential scenarios, especially given the dramatic financial improvements we made to the business over the last few years. I will touch on some of the highlights of the quarter and then provide an update on our strategic focus, which I'm confident will help you understand why we are so bullish about the future for MiMedx. For the third quarter, year-over-year net sales growth was an exceptional 35%, finishing at a record $114 million. Our adjusted gross profit margin was 88% in the quarter. Adjusted EBITDA was $35 million or 31% of net sales. We continue to build cash, ending Q3 with $124 million in net cash, a sequential increase of $23 million for the quarter, and we expect to end the year with a net cash balance of more than $150 million. Our Surgical business was an important contributor, growing 26% this quarter, driven by the continued growth across the portfolio. We now have over half of the target patients enrolled in our EPIEFFECT randomized controlled trial, and we have recently completed an interim analysis with favorable results. We launched a few strategic collaborations with companies offering complementary solutions in the wound care market, and we continue to evaluate additional products to expand our portfolio for both our wound and surgical businesses. In terms of our strategic focus, we continue to make excellent progress in the 3 areas we have consistently highlighted as the most important for our long-term growth. Our top strategic priority is to continue to innovate and diversify our product portfolio. As you have witnessed, one of the ways we have been able to maintain strong momentum in the business has been with the introduction of products designed to address the numerous unmet needs in both the wound care and surgical markets. In this year alone, we continued with the full market release of EPIEFFECT, licensed and introduced HELIOGEN, CELERA and EMERGE, and we have just begun the rollout of EPIXPRESS. A randomized controlled trial for EPIEFFECT continues to progress on schedule. As mentioned, we have over half of the target number of patients enrolled and randomized, which provided sufficient data for interim analysis and manuscript submission. These favorable results will be presented tomorrow at the Tissue Repair Evidence Summit. This is excellent news as we will then have completed all the necessary steps to request reimbursement coverage for EPIEFFECT as required by the pending LCDs. On our last call, I mentioned that we had received a TRG letter for EPIXPRESS, which confirmed its status as an FDA Section 361 product. EPIXPRESS is a fenestrated allograft designed to be used in post-acute cases where the flow or extraction of fluid is of critical importance to the healing process. The full market release of EPIXPRESS is now underway and the early feedback is extremely positive. CELERA and EMERGE allografts we licensed to remain competitive in the private office marketplace until Medicare reform is enacted, both performed well in the quarter, contributing to our growth in wound care. We also continued executing on the previously announced co-marketing pilot with Vaporox. As a reminder, the Vaporox system named VHT or vaporous hyperoxia therapy is a 510(k) cleared device that delivers ultrasonic mist and concentrated oxygen for the treatment of 9 types of hard-to-heal chronic wounds, including diabetic foot ulcers, venous leg ulcers and pressure ulcers. We are receiving excellent early feedback about this solution. Our second priority is to develop and deploy programs intended to expand our footprint in the surgical market. To achieve our continued success in this area, exemplified by our 26% surgical revenue growth in Q3, we have committed significant resources toward the introduction of products like our Xenograft Particulate HELIOGEN, additional commercial resources and development of robust real-world evidence demonstrating the potential clinical benefits for patients, the health care economic payoff and the immense business opportunity for MiMedx. By way of example, we've mentioned the use of our technology in anastomosis procedures a few times in the past. One of the most common complications from those procedures are leaks, which occur in upwards of 9% of patients who undergo colorectal surgery and are associated with statistically significant increases in morbidity, mortality, length of stay and rehospitalization. The cost associated with these complications is estimated to be approximately $28 million for 1,000 patients, making anastomotic leaks a nearly $14 billion challenge for the health care system. As we have demonstrated in peer-reviewed publications, the application of AMNIOFIX as a protective barrier to the surgical closure site has proven to help reduce anastomotic leaks by nearly 50% and readmissions by approximately 40%, which would provide massive savings. Given there are over 500,000 colorectal surgeries per year in the U.S., our TAM is in excess of $500 million for AMNIOFIX just in colorectal procedures. We will continue to make these critical investments and expect to generate evidence across a variety of procedures. Our third initiative is to introduce programs designed to enhance customer intimacy. As we have mentioned, we believe the way we interact with our customers and our company's comprehensive value offering will help drive engagement and retention, especially as we transition to a reimbursement environment where profit potential is no longer a primary driver in product selection. We continue to invest in ways to enhance these relationships, including increase and improved customer interaction at various levels within the company. We also continue to experience excellent adoption of MiMedx Connect, our proprietary customer portal. In the third quarter, we saw sequential sales growth of nearly 60% for orders managed within MiMedx Connect. We also recently added bill pay functionality within Connect for online payments and invoicing, and we are actively developing additional features to this system designed to improve workflow and strengthen the bond between MiMedx and our customers. We believe our commitment to this approach will lead to enhanced customer relationships, improved Net Promoter Scores, higher margins and ultimately an increase in the average lifetime value of a customer. On last quarter's call, we discussed the reforms CMS plans to implement to address the runaway fraud waste and abuse plaguing the skin substitute market. As a reminder, CMS announced the following initiatives. First, at the end of June, CMS introduced the wasteful and inappropriate service reduction or Wiser model, which is focused on leveraging artificial intelligence and machine learning in concert with human clinical review to curb broad waste abuse in health care. This voluntary model, which aims to encourage safe and evidence-supported best practices for treating Medicare beneficiaries will run from January 1, 2026, through December 31, 2031, in 5 states and will examine several product categories, including skin substitutes. Next, in July, CMS posted the proposed physician fee schedule or PFS, and the Outpatient Prospective Payment System, or OPPS, for calendar year 2026. These proposed rules move away from the ASP methodology in the private office and the bundle in wound care centers in favor of a fixed payment for skin substitutes of $125.38 per square centimeter in all outpatient sites of care, private offices and wound care centers alike. We submitted our comments to the proposed rules in September, recommending CMS consider setting a higher application fee for providers covered by the PFS, reimbursing skin substitutes as pass-through items, setting the fixed price using other reasonable inputs we highlighted, resulting in a relatively modest increase in the price per square centimeter, applying an inflationary index moving forward and phasing in the price change over time. We believe these suggestions taken together would compensate providers appropriately for the important work they do, eliminate perverse incentives to overutilize skin substitutes and ensure product developers continue to invest in cutting-edge technologies and solutions, all while saving U.S. taxpayers, the Medicare trust fund and beneficiaries billions of dollars. Final rules are expected to be published in November to take effect at the start of the new year. Lastly, the much discussed LCDs are scheduled to go into effect on January 1. It remains to be seen if they will be modified and/or delayed once again. But as I said earlier, we are well positioned for any scenario. As we stated in the past, we are extremely confident of the company's position post Medicare reimbursement reform. When product performance is once again the primary factor driving product selection, our best-in-class technology will carry the day. Let me offer 3 facts in support of this statement. First, in 2023, we grew our business by 20% with constant pricing. It was all volume-related growth driven in part by the introduction of a few new products and commercial execution. This was just about the time we started to see a rapid uptick of new high-priced skin substitutes entering the market, which subsequently caused our growth to slow. Second, in the surgical market, where profit potential does not so overwhelmingly drive product selection, we have been outperforming in the market as evidenced by our 26% growth in the third quarter. And third, we've recently introduced a few wound products that are "more competitively priced. While these products are priced below the mean of other available products on the market, they have been enough to stem the attrition of customers in search of these opportunities. These 3 points illustrate that the profit potential is not such an outsized motivator in product selection and performance and outcomes are of greater importance, MiMedx grows faster than the market. We also expect to see a number of competitors decrease in the wound care market when the reimbursement reform goes into effect as certain business models will become significantly less attractive. We, therefore, see this as an excellent opportunity to pick up market share. Before I turn the call over to Doug for a detailed financial review of the quarter, I'd like to share some of my thoughts on guidance. First, we had a great third quarter, and we expect to finish the year in a similar fashion. As such, we are increasing our full year 2025 revenue growth rate outlook from the low teens to the mid- to high teens. We also now expect our full year adjusted EBITDA margin to be at least in the mid-20s as a percentage of net sales. Second, we were no doubt trying to determine how to model the business for 2026 post the implementation of the proposed reforms. We are somewhat in the same boat. However, it would not be prudent to project the base case from the proposed numbers and current volumes given the other factors which will no doubt benefit our business. Until we have clarity on the CMS final rules for the PFS and OPPS, which have yet to be published, we do not want to overspeculate. At a higher level, we do expect some choppiness in the early part of the year as the industry navigates the changes. Still, we welcome these reforms and expect the change will bring much needed stability and predictability to the market. We firmly believe that the change is an opportunity for MiMedx to pick up share due to our numerous competitive advantages. We have a fully vertically integrated business from product development to manufacturing to commercialization, including donor recovery. We have an excellent, robust and defensible intellectual property portfolio. We have arguably the most comprehensive and effective commercial organization in this space. And over the past 2.5 years, we have dramatically improved our financial position to include an anticipated net cash balance of more than $150 million by year-end. I've been running med tech companies for decades, and I can tell you that these types of events have a way of shaking out the marginal players. Our fundamentals are solid, and we are going to leverage our competitive advantages to ensure continued success in this new area. That is why I am incredibly bullish regarding the prospects for MiMedx. Now let me turn the call over to Doug for a more detailed review of our financial results. Doug?
Douglas Rice: Thank you, Joe, and good afternoon to everyone on today's call. I'm pleased to review our results with you all today. As a quick reminder, as Matt mentioned at the top, many of the financial measures covered in today's call are on a non-GAAP basis, so please refer to our earnings release for further information regarding our non-GAAP reconciliations and disclosures. Moving on to the results. Our third quarter 2025 net sales of $114 million represented 35% growth compared to the prior year period. By product category, third quarter wound sales of $77 million increased 40% versus the prior year period, while surgical sales of $37 million were up 26%, reflecting strong results across both of our franchises. We saw significant contributions across our business in the third quarter. In Wound, our third quarter performance was driven by new product sales of CELERA and EMERGE. In our Surgical franchise, AMNIOFIX and AMNIOEFFECT once again delivered strong double-digit year-over-year increases in sales, and our particulate products also demonstrated strong growth on a year-over-year and sequential basis. Our third quarter 2025 GAAP gross profit was about $95 million, a 38% increase compared to the prior year period. Our GAAP gross margin was 84% in the third quarter 2025 compared to 82% last year. Excluding the incremental acquisition-related amortization expense in the quarter, our non-GAAP adjusted gross margin was 88%, up about 540 basis points compared to the third quarter of 2024. This increase was primarily a result of product mix as well as the timing of positive production variances. In light of the strong year-to-date results, we now expect our full year non-GAAP gross margin to be around 85%. Turning to our operating expenses. GAAP sales and marketing expenses were $54 million or 47% of net sales in the third quarter compared to $42 million or 50% of net sales in the prior year period. The dollar increase was due to a combination of increased sales costs, including higher commissions associated with both higher sales as well as the changes we made to our sales commission plans in the middle of 2024. As a result of our year-to-date results, we now expect full year 2025 sales and marketing expenses to be between 49% and 50% of net sales, which would be a modest improvement on a percentage of sales basis compared to 2024, albeit up in absolute dollars. GAAP general and administrative expenses, or G&A, were $15 million or 13% of net sales in the third quarter compared to $12 million or 14% of net sales in the prior year period. The dollar increase was driven by incremental spend from legal and regulatory disputes in the current period, including our ongoing litigation with certain competitors and former employees. As with other OpEx lines, we expect GAAP G&A to grow in absolute dollars for the full year 2025 and to be about 14% to 15% of net sales. Our third quarter R&D expenses of $4 million or 3% of net sales was up $800,000 compared to the prior year period. Our R&D expenses are primarily comprised of the costs associated with our EPIEFFECT RCT as well as additional spend related to the development of future products in our pipeline. As Joe mentioned, we have prepared an interim analysis of the EPIEFFECT RCT and have submitted it for publication and presentation later this year in support of any potential Medicare coverage requirements. As we think about the full year, we expect R&D expenses to be about 3% of net sales. GAAP income tax expense for Q3 2025 was around $6 million, reflecting an effective GAAP tax rate of 27%. We continue to expect our long-term non-GAAP effective tax rate to be 25%. Our third quarter GAAP net income was $17 million or $0.11 per share on a diluted basis compared to GAAP net income of $8 million or $0.05 per share in the prior year period. Adjusted net income for the third quarter was $23 million or $0.15 per share compared to $10 million or $0.07 per share in the prior year period. Third quarter adjusted EBITDA was $35 million or 31% of net sales compared to $18 million or 22% of net sales in the prior year period. Sequentially, our third quarter adjusted EBITDA grew by nearly $11 million as we focus on expense management that enables our sales increases to drop to the bottom line. Turning to our liquidity. We continue to bolster our balance sheet and position the company to make growth investments. In the third quarter, the business generated $29 million in free cash flow, a record for the company, and our net cash position rose to $124 million. The steady improvement in our balance sheet provides us with the ability to evaluate a range of organic and inorganic investments, and we believe we have a healthy amount of combined firepower between cash on hand and borrowing capacity to help continue to grow and diversify our business. I will now turn the call back to Joe. Joe?
Joseph Capper: Thanks, Doug. As you just heard, we had an outstanding quarter and expect a strong finish to the year. We set record highs for revenue and adjusted EBITDA with strong growth in both the Wound Care and Surgical businesses. We continue to generate excellent cash flow. We launched EPIXPRESS. We advanced a few pilot programs to co-market complementary solutions in the wound care market, and we increased our 2025 guidance meaningfully to reflect our strong momentum. As far as the upcoming wound care reimbursement reform is concerned, it is a matter of when, not if this is going to happen. The current trends are not sustainable. We hope these much-needed reforms incorporate our recommendations. We believe they would be beneficial to all stakeholders. And as I said, we are confident in our ability to excel when the industry resets to the proposed guidelines. In closing, I would like to once again thank the MiMedx team for a tremendous quarterly performance and for your unwavering commitment to our mission and the many individuals we have the good fortune to serve. Let's now shift to Q&A and open the call to questions. Operator, we are ready for our first question. Please proceed.
Operator: [Operator Instructions] Our first question comes from the line of Frank Takkinen with Lake Street Capital Markets.
Frank Takkinen: Congrats on a really nice quarter. I was hoping to start with the guide for the rest of the year. How should we be thinking about kind of contribution from wound versus surgical? Obviously, we still have the wound policy in place through year-end, and that might change at the beginning or likely will change at the beginning. But should we continue to expect that, that grows really heavily? And then should we continue to expect that surgical business too as well? Just trying to kind of get a little bit more of the variables behind the Q4 guide.
Douglas Rice: Thanks, Frank. This is Doug. Good question. We're obviously super happy with record revenue for the quarter, led by 40% growth in our wound franchise and 26% in Surgical with regards to the guide and how that looks going forward, I would -- we continue to expect strong uptake in the surgical suite. And so I would think that, that momentum continues into Q4 and the wound business and franchise is certainly going to continue to grow at a healthy clip. So 40% is -- you have to also recall that Q3 last year was sort of the nadir of our impact from the sales turnover that we experienced in Q2. And so the comps are going to get a little tougher there in Q4. I'll leave it there.
Joseph Capper: The only caveat to Q4 as Doug mentioned, it's going to be a tougher comp in Q3. And as the rules on the rules and adjustments start to take place, there's probably some folks that will make those adjustments a little bit earlier. So back of December will be a little bit more difficult to predict. But we've got great momentum. Obviously, the first month is in good shape.
Frank Takkinen: Got it. That's helpful. And then maybe just thinking a little bit about kind of post January 1. I know you mentioned you're doing a number of things to prepare for that. Maybe you call out some of those things that you're doing today to prepare for different reform options and maybe if you can extend to what you feel like would be the best outcome for your company? Is it kind of how your comments were structured and proposed? Or is there anything else you think would be kind of the best outcome for MiMedx?
Joseph Capper: Yes. I think our comments were structured and proposed would be the best outcome for the industry and for MiMedx. But we have been advocating for some time is level the playing field and take this price variability out of the equation. I think it's we don't need to revisit that. It looks like that is going to happen. So we clearly welcome the reform. And given our experience in competing on a level playing field, we're really comfortable that we're going to outperform the market. I don't want to go into details in terms of like what types of scenario planning we have done. But again, you can imagine an environment that's less attractive from a profitability perspective, some participants are not going to be in the market, but probably not going to find this as attractive as it did over the last couple of years. So I think there's going to be ample opportunity for market share growth in a number of different ways. And look, we have plenty of evidence to that, right? We've done it in the past. We see it today in our surgical market, how we're growing there. It's much more of a level playing field. Last thing I would leave you with is we have a great balance sheet. So if there's opportunities to do things to kind of get a share -- a little bit of share that way, we'll look at those opportunities.
Frank Takkinen: Got it. And then maybe if I can squeeze one more quick one in. Cash ending at $142 million. I know you guided to greater than $150 million of cash. That obviously leaves the door open above $150 million. But how should we maybe think about cash generation if you just put up $20 million this quarter and that $150 million is out there?
Joseph Capper: Yes. We probably confused people because sometimes we talk gross cash and net cash. We still have about $18 million drawn on our line. So when we say $150 million by year-end, think of that as net. So you're probably in the high 160s from a gross standpoint. And the question is why haven't paid that line down. And it's just Doug jells at me every quarter. That's because we've -- frankly, we've been looking at so many different opportunities that we thought it made sense to do it all at the same time.
Operator: Our next question is from the line of Chase Knickerbocker with Craig-Hallum.
Chase Knickerbocker: On the quarter. Maybe just first, Joe, I was hoping you'd be willing to share in your wound business on a overall square centimeters basis, what volume growth was either sequentially or year-over-year. I respect your comments on the uncertainty as it relates to '26, but just trying to get some sort of kind of guidepost for us as we think about Q4 and then 2026 as it relates to volumes.
Joseph Capper: Yes. As you know, we have not been public about that because there's puts and takes and ups and downs. And when you launch new products, some products need less tissue. And so your cost -- your volume per square centimeter may go down, may go up. So there's so many factors that go into that. We tend to stay away from that. We certainly stay away from it by segment. I think the way I answered the previous question, we feel very comfortable about pending changes. We feel that we're in great -- we're in a pole position to pick up share, depending on what the ultimate price is. And the other thing, too, is depending on what other factors are associated with the new rules, is there pass-through pricing? Is there opportunity to continue to discount? How much discounting is going to be permitted. There's several other kind of like mechanics, I would say, about how these rules are going to go into effect that could affect the way people market products. So it's just too soon. We'll know the final rules in a couple of weeks. I'd say we always want the answer today, so do we, but it's right around the corner. And I have to stress, I don't see another company that is in a better position than us to compete once these rules are in effect.
Chase Knickerbocker: Understood. Maybe just on that, have you had a chance to get any feedback on the Hill or from any sort of constituents on some of those suggestions that you made, I think, particularly around kind of the potential pass-through mechanism or like a CPI adjustment, for example, instead of a recalculation annually. I mean, have you gotten any feedback from that?
Joseph Capper: Nothing that we could publicly comment on. We work through third-party advisers who communicate directly with as much as possible. Obviously, we're in a shutdown, but as much as possible directly with CMS and the MACs and we try to put together as much information on it as we can. But there's nothing that we can share publicly that we can stand behind 100% at this point today.
Chase Knickerbocker: And then just last, maybe just on the LCDs. That submission as far as the -- when the clinical data was -- is supposed to be submitted, it's obviously coming up here very quickly. Have you heard from the MACs as far as get your data in as in LCDs could likely be moving forward? And then on that front, I know you mentioned that the presentation tomorrow. But just kind of can you speak any more additional detail to that data or I guess, your confidence that it will be sufficient to support inclusion on the LCD as it relates to EPIEFFECT?
Joseph Capper: So I'm going to frustrate you for the third time, case, I apologize. There's really not a whole lot more I can offer in terms of LCD, go/no-go, whether they're going to be implemented, whether they're going to be modified. And all that's kind of rumor in the industry. Everybody's got their opinion. The second part of your question of whether or not we feel that we've got sufficient evidence relative to EPIEFFECT to justify reimbursement. The answer to that is yes. The analysis was very strong. And then there are steps we have to go through either has to be a presentation and there has to be a manuscript submission and then you can apply for reimbursement. And we have those steps completed as of tomorrow. So we feel comfortable that our submission is in good shape. Whether or not they stick to that protocol is yet to be seen or I would say, requirement is yet to be seen. That will tie back to whether or not the LCDs are once again postponed and/or modified. But we're in pretty good shape with that product.
Operator: Our next question is from the line of Carl Byrnes with Northland Capital.
Carl Byrnes: Congratulations on the quarter. Considering the foreseeable shakeup, obviously rising from reimbursement changes, which are longer and your cash buildup, I mean are you seeing any compelling low-hanging fruit with respect to M&A prospects or business development opportunities that would fit nicely?
Joseph Capper: Yes. I would -- the answer is yes. There are compelling assets. We have leaned a little bit more into the surgical side of our business in terms of scouring the landscape for opportunities to license and/or acquire technologies or products or companies. That does not mean that we're dismissive of the wound care business, just that if assets have any exposure to pending changes are much more difficult to value at this juncture. But I think there's ample opportunity to kind of leverage or use our balance sheet to accelerate the strategic growth plan. So we're not -- we've said this in the past, we're not buying for the sake of buying. But if it fits our strategic plan, if it augments our current product portfolio in the wound care business, if it adds assets that are strategic fit for us in the surgical business, they're kind of the types of assets that we're looking at.
Operator: Our next question is coming from the line of Ross Osborn with Cantor Fitzgerald.
Ross Osborn: Congrats on a strong quarter. So starting off, would you walk through where you're seeing adoption of HELIOGEN and where you stand on evidence generation there?
Joseph Capper: We haven't put out a number on that, but...
Douglas Rice: It's increasing quarter-to-quarter sequentially.
Joseph Capper: It's increasing month-to-month, quarter-to-quarter. But it takes a while, right? So you have to get the product on contract, you have to get it through bid or value analysis committees, I should say. And then you have to prove efficacy at the surgical level. Feedback is great. We are building evidence around it in various cases. So I would expect it to be -- I don't -- we haven't put out a growth number on that. But let's just say it's becoming a meaningful contributor to our surgical business. And I can't stress enough how important it is for us to point out the fact that the surgical business continues to grow well. When we decided to shut down the KOA business about 2 years ago, we did that with the intention of pivoting more and focusing more on the surgical business, and we've done that. We've added human resources to that group. We've added products, as you know, launched a few new products, including HELIOGEN, which we just started talking about, and we spent a lot of time on the evidence. I walked through one example of that in our comments. That's about 1/3 of our business today. So the surgical business is about 1/3 of our total business. You can do the math on that, and it's growing at 15%, 20-plus percent all year long. If that was a stand-alone surgical company with that kind of growth rate, it would be -- I think we would all agree that it would be trading at a much higher multiple than MiMedx is trading at today. So we're super excited about continuing to invest in that business.
Ross Osborn: Great. And then turning to AXIOFILL, what's the path forward there following the September court ruling?
Joseph Capper: We have to kind of resubmit our arguments and likely have another hearing with the judge. So we're sort of back to the beginning. which is -- in the meantime, AXIOFILL continues to do well in the marketplace. As you remember, when we brought HELIOGEN into the portfolio, that was -- part of that was mitigation in the event that AXIOFILL went away. So we have not overtly tried to change out that product. And it has stabilized and even in some cases, grown. So we looked at our particulate business, which would be AXIOFILL and HELIOGEN together, that's a really strong business. It continues to grow. So we'll see. We'll get through that. But we have some mitigation plans in place, including AXIOFILL for some reason, that does not go away. But we think our case is really strong. Arguments are really, really strong. And I wouldn't read anything into that delay other than it was a little bit long in the tooth from a scheduling standpoint, and that may have motivated the judge to kind of do a reset.
Operator: The next question is from the line of Anthony Petrone with Mizuho Group.
Anthony Petrone: Congrats on a great quarter, very, very bullish results all around. Maybe on the 40% wound growth in the quarter, and obviously, you mentioned the final CMS LCD outcome here coming in November. Do you think there was pull forward of demand in the physician channel specifically just ahead of that ruling? Did you notice any of that taking place? And then just when you think of underlying volumes on the surgical side, we've heard from others in the medical device space that there's some pull forward of just surgeries generally on the notion that potentially ACA policies may not renew just with the government shutdown happening here. Did you notice any pull-through on the surgical side from any Medicaid or ACA dynamics? And I'll have one quick follow-up.
Joseph Capper: We didn't notice pull-through on either side of the business. We certainly didn't notice pull forward, I should say, on the surgical side of the business. Frankly, I wouldn't expect it in the types of procedures where our product is being utilized. These are not elective surgeries. So I doubt we would be impacted by that. You might see it more in the orthopedic space or something like that, but you're not going to see it really where our products being used for the most part.
Anthony Petrone: Okay. Great. And then just a follow-up again on looking at the final rule here, and I know there's just a debate out there on potentially how skin substitute products could settle on a per centimeter square basis, but also on the allotment for how many applications could be decided on in the LCD. So is there any way to just set expectations on what the range of scenarios could be on a per centimeter squared basis, but as well as a total application basis?
Joseph Capper: Yes. I think it's a good point you bring up, not limitations because there are things that we still need clarity on, which is one of the reasons why I'm staying away from speculating. And I'm going to frustrate you as much as I frustrated Chase. I just can't give you that range right now. I certainly am not going to speculate on what the final price is going to be because there's all kinds of rumors running around in the marketplace, and they are just that. We're really close to this thing being public. If I were a betting person, I'd say we're going to see it sooner in November rather than later in November. So we're going to know real soon, Anthony. And then we'll be able to kind of plug these inputs into the way we've been modeling potential scenarios, and we'll have more clarity. But again, I have to stress that regardless of the rules, the industry will be more stable. It will be more predictable. If it resets somewhat, that's okay because this company will outperform the market as it has done in the past when the playing field is even. When everybody is playing by the same rules, especially relative to price and profitability, we will outperform the market. So we welcome it.
Operator: At this time, this concludes our question-and-answer session. I'll hand the floor back to Joe Capper for closing comments.
Joseph Capper: Thanks, operator, and we appreciate you guys being on the call today and the interest in the company. That concludes today's call, and we will speak to you after our next quarter. Thanks, everybody.
Operator: Thank you. Today's conference has concluded. You may now disconnect your lines at this time, and have a wonderful day.